Operator: Good day ladies and gentlemen and welcome to the Asbury Automotive Group Q3 2020 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Matt Pettoni. Please, go ahead, sir.
Matt Pettoni: Thanks, operator, and good morning, everyone. Welcome to Asbury Automotive Group's third quarter 2020 earnings call. Today's call is being recorded and will be available for replay later today. The press release detailing Asbury's third quarter results was issued earlier this morning and is posted on our website at asburyauto.com. Participating with me today are David Hult, our President and Chief Executive Officer; PJ Guido, our Chief Financial Officer; and Dan Clara, our Senior Vice President of Operations. At the conclusion of our remarks, we will open the call up for questions and I will be available later for any followup questions you might have. Before we begin, I must remind you that the discussion during the call today is likely to contain forward-looking statements. Forward-looking statements are statements other than those which are historical in nature, including those statements relating to the duration and contemplated impact of the COVID-19 pandemic on our business and financial performance, as well as the financial projections and expectations about our products, markets and growth. All forward-looking statements are subject to significant uncertainties and actual results may differ materially from those suggested by the statements, including potential impacts from the COVID-19 pandemic on us, our industry and our customers, suppliers, vendors and business partners. For information regarding certain other risks that may cause actual results to differ, please see our filings with the SEC from time to time, including our Form 10-K for the year ended December 2019, any subsequently filed quarterly reports on Form 10-Q and our earnings release issued earlier today. We expressly disclaim any responsibility to update forward-looking statements. In addition, certain non-GAAP financial measures, as defined under SEC rules, may be discussed on this call. As required by applicable SEC rules, we provide reconciliations of any such non-GAAP financial measures to the most directly comparable GAAP measures on our website. It is my pleasure to hand the call over to our CEO, David Hult. David?
David Hult: Thanks, Matt, and good morning, everyone. Welcome to our third quarter earnings call. We just reported an all times record third quarter despite the ongoing uncertainty in the economy. I mean with well below our prior year levels we delivered an all time high adjusted operating margin of 6.6%. As a result of our cost control measures we implemented, we were able to achieve an adjusted SG&A as the percentage of gross profit of 61.1%. Our focus on gross profit and expense management once again produced a great quarter with adjusted EPS of $4.08 up 75% over the prior year. In addition, this quarter continued to prove the strength of the new vehicle franchise and dealer model. With significantly lower volume and constrained inventories we increased our front-end yield per vehicle by $1045 over the prior year. We also flexed our cost structure down, managed our inventories to improve margins and maximized profits to deliver these record results. We also successfully closed on the highly strategic Park Place acquisition. We want to welcome all of our new teammates and thank all of our employees who worked on the integration to ensure we hit the ground running. Due to our strong performance and cash flow, our pro forma net leverage ended this quarter at 2.4 times to our targeted range and well ahead of schedule after financing the largest acquisition in our history which increased the size of our company by 25%. This will allow us to maintain a more aggressive acquisition pipeline and grow our business by strategically deploying capital. Our strong performance is the result of our pioneering omnichannel that we launched over four years ago. In the third quarter, 22% of our guests chose to buy their used vehicle online. While we are pleased with these results, we are focused on further building and refining our omnichannel tools to enhance the guest experience. In July, I said we have an update regarding our online buying software. We have completed the construction of our newly redesigned online platform and site which will greatly enhance the guest experience. We have begun live testing on the new platform to work out any kinks we may have. We will have an Investor Day in mid to late November to walk you through the software in detail. In addition to building an industry leading online sales platform, two years ago we began our journey to become the most guest centric automotive retailer. We have made incredible strides and plan to continue enhancing the guest experience with our omnichannel tools and investing in our people and our culture. We believe in the dealer franchise model. Amongst franchises the only differentiator is our first the level of service your teammates provide and second a world class omnichannel strategy. These key differentiators create a seamless and transparent experience for our guests. Finally, I want to thank all of our teammates for their commitment during this pandemic. These results happened because of your passion and perseverance adapting to our new world. Thank you. I will now hand the call over to Dan to discuss our operating performance. Dan?
Dan Clara: Thank you, David and good morning everyone. My remarks will pertain to our same-store performance compared to the third quarter of 2019. Looking at new vehicles, as we mentioned last quarter, our focus remains on improving margins and not taking volume, and we continue to pursue this strategy in the third quarter. Overall, our new gross profit per vehicle was up $830 per car or 58% from the prior year period. All segment margins were up significantly from the prior year period. With the acquisition of Park Place, we increased our luxury mix from 33% to 49% driving our all score PVRs up 41%. At the end of September our total new vehicle inventory was $579 million and our day supply was 47 days, down 29 days from the prior year. We expect the day supply to increase gradually through the fall and winter selling season. Turning to used vehicles. Our gross profit margin was 8.5%, up a 170 basis points from the prior period, representing a gross profit per vehicle of $2036. Similar to our new vehicle strategy, we focused on being opportunistic with our inventory and improving grosses to maximize profits. The second aspect of our used car business is wholesale, where we were able to increase our gross profit over $6 million and as a result, our used revenue including wholesale was flat with the prior year period. Our used vehicle inventory ended September at $204 million which represents a 35 day supply, down one day from the prior year. Turning to F&I. Our strong, consistent and sustainable growth in F&I delivered an increase of $208 to $1830 from the prior year quarter. In the third quarter our front-end yield per vehicle increased $902 per car to an all-time record of $3992. Finally, turning to parts and service. Although, our parts and services revenue decreased in the quarter, we continue to see the business improve each month. In the month of September, our same-store parts and service revenue was up 8% over last year. Also, our parts and service gross margin declined 130 basis points to 60.8%. The decline in gross margin was primarily attributable to a $2.7 million expense in our internal profit research for reconditioning and preparation work related to our increased vehicle inventory from the Park Place acquisition. We expect our margin to return to normal levels next quarter. I would like to take this opportunity to express appreciation to all of our teammates in the field and our support center for managing through this pandemic and transformational acquisition. I will now hand the call over to PJ to discuss our financial performance. PJ?
PJ Guido: Thank you, Dan and good morning everyone. I would like to provide some financial highlights which marked another great achievement for our company in a tough and still uncertain macro environment. For additional details on our financial performance for the quarter, I would refer you to the financial supplement in our press release. Overall, compared to the third quarter of 2019 revenue was on par to last year, despite a lower SAAR due to completed acquisitions and improvement in F&I PVRs, gains in wholesale revenue and a continued recovery in our parts and service business. Gross margin expanded by 230 basis points through an all-time high of 18.2% driven by our proactive inventory management and focus on improving gross profit per unit. Moving down the P&L, we saw adjusted SG&A as a percent of gross profit decrease by 780 basis points to 61.1%. This is due to proactive expense reductions and efficiencies gained on both personnel and advertising. Our actions can management gross profit and control expenses resulted in an all-time record adjusted operating margin of 6.6%, an increase of 210 basis points about the same period last year. Adjusted EPS increased by 75% versus the prior year period which was also an all-time record. Net income for the third quarter 2020 was adjusted for a $24.7 million gain or $0.96 per diluted share on the dealership divestiture, $1.3 million or $0.5 per diluted share of acquisition related costs and a $700,000 or $0.3 per diluted share real estate related charge. Our effective tax rate was 24.8% for the third quarter of 2020 compared to 24.4% in the third quarter of 2019. Floor plan interest expense for the quarter decreased by $6 million over the prior year quarter, driven primarily by lower inventory levels and lower LIBOR rates. With respect to capital deployed excluding acquisitions we spent approximately $10 million on store improvements and real estate this quarter. During the quarter, we closed on the Park Place acquisition. We expect this acquisition to generate approximately $1.7 billion in annualized revenues. To finance the acquisition, we need cash on hand, our credit facility and $200 million in senior [ph] notes. Very shortly after closing, we issued $250 million of debt as add-ons to our existing senior notes. We added $125 million to our senior notes due in 2028 and $125 million towards senior notes due in 2030. We used the proceeds to fully repay the notes and pay down approximately $50 million on our revolving credit facility. Also during the quarter we divested our Greenville Lexus dealership as we reached our regional ownership pact due to acquiring new Park Place Lexus stores. However, we are still under our total national cap for Lexus store ownership. This dealership generated approximately $90 million in annualized revenue. As the results of our operational performance, our balance sheet remained in a very strong condition and we ended the quarter with approximately $385 million of liquidity comprised of cash, floor plan offset account and availability on both our used line and revolving credit facility. Also at the end of the quarter, our pro forma net leverage ratio stood at 2.4 times below our targeted leverage range of 2.5 to 3 times. As a result of our strong cash flow generation, we were able to fulfill our commitment to reduce leverage on the yields of the Park Place acquisition well in advance of our original time field. This will put us in a much more proactive and flexible position for strategically deployed capital going forward. In closing, I would also like to thank our teams across the business, who continue to work tirelessly during this unprecedented time to ensure our current and long-term success. We will now turn the call over to the operator and take your questions. Operator?
Operator: Thank you. [Operator Instructions] And we'll go first to Rick Nelson of Stephens.
Rick Nelson: Thanks, good morning. I want to ask about inventory supply, things have been pretty tight and constrained. When would you think that is going to normalize and did the employee [indiscernible] for a GP working on SG&A?
Dan Clara: Good morning Rick, this is Dan. To your point we have seen -- constraint in the inventory. We're seeing inventory flowing back in slowly, but surely into the stores and we expect that to continue to grow as we go through the fall and the winter selling seasons and obviously into Q1. As business continues to come back around, we do expect some of our expenses to -- cost structure to go along for the ride as well and I think there was one other question you asked, I mean get [indiscernible]?
Rick Nelson: Yes, the GP frankly go back to pre-COVID levels until we normalize at higher rates next year?
David Hult: Rick, this is David. I would tell you we’re -- as we sit here today that we’re still benefitting in our GPUs from the lower inventory and we anticipate at this point to benefit throughout the quarter. The virus is starting to heat, but backed up as we all know, assuming factories don't shut down at all, we anticipated some point in the first quarter to get inventory levels somewhat back to normal, and at that point you would assume you would feel it into margins, but we don’t see that happening in Q4.
Rick Nelson: Certainly, thanks for that, and used cars [indiscernible] saying- GPUs, can you take those follow what stuff [ph] with her new car margin and it is at give or take a different trajectory to understand inventory trajectory is compounding stair is also if a faker comment there?
David Hult: Sure, yes. There's a little bit of seasonality in that as well as what's going on with the heat up of the virus. Used car inventory for us is a little bit more available than new car inventory. We've seen a little bit of pressure this quarter in gross profit, but we don't anticipate it in the quarter falling back to levels of pre-COVID at this point. But we do again think over time, that those will start to normalize as well, just not in this particular quarter.
Rick Nelson: Thanks for that and if I can ask about Park Place, how that's performing relative to your expectations? That is for filing that suggested first half EBITDA was down 23%. I think, I calculated if you could comment on the drivers to that client what changes are going into effect at Park Place?
David Hult: Yes, Park Place. It's very new. We closed at the end of August, but so far, they're exceeding our expectations in all departments, parts sales, service, pre-owned, margins. Were very, the Park Place like Asbury is benefiting from the low day supply and what's going on and it's exceeding our expectations at this point.
Rick Nelson: Very good. Thanks and good luck.
David Hult: Thank you.
Operator: Our next question will come from John Murphy of Bank of America.
John Murphy: Good morning, guys. Specifically a first on the parking service recovery, which sounded like it was accelerating, definitely you expect to continue to ramp in the fourth quarter as we catch up on some of the deferred maintenance and other work it may have been put off, or do you think it's going to take your longer internal economy? Miles driven right, get backup to drive that?
David Hult: Yes, I would just John, I'll start with just a reminder first. In our products and service numbers that we disclosed collisions in there. Collision for us is running, for 12% to 15%, back, depending upon the market. So that's pulling back our CP numbers. We've been positive for the last few months in service specifically, as it relates to customer pay in warranty. We anticipate that to continue and I hate to keep putting this disclaimer on it, but depending upon what happens with the virus, and how much that heats up, I would assume that could have a negative impact. At this point in time the last few months we've been in the green, as it specifically relates to parts and service excluding collision.
John Murphy: It [indiscernible] evergreen, does that mean sort of mid single digit or it does seem like there was a fair amount of deferral in the second quarter, and then just this natural capture, you're getting on attachment parts and service. It seems like you had to put words in your mouth, you should be able to kind of put up mid singles, sort of natural is that is that what's been happening, or is it something better or worse than that?
David Hult: Yes, no, I think that's a fair number. As Dan said in the script, for September we're up 8% in revenue. We had a little bit of a gross hit in the quarter, but that was more to do with how we handle reserves and increasing and for the Park Place acquisition. So we actually improved if you pull out the reserve, our margin in the quarter as well. So I would say mid single digits at this point is fair to say we're back on track with that. And again, assuming nothing dramatically changes but the virus you know, we should stay on that trend.
John Murphy: Let me say [indiscernible] on you and you're going after this the push start, leveraging your existing assets in key auto was started and stopped. It sounds like for good reason that you think [indiscernible] the way you operating. I thought you could do this. How much opportunity you think there is, I think there is 23, you can do I think was remembering in the quarter to maybe drive that up significantly higher and energy really leveraged to start with omnichannel efforts pretty get significantly above one-to-one. It has to be a big growth driver to talk you in any asset base.
David Hult: There's no question, John. I mean everything you said is accurate. Our biggest opportunity is in Pre-owned sales. I'm not making excuses. It was a busy quarter for us. Adding that at large acquisition, I think when you see on Investor Day, what we've done with the digital tools, how significantly different they are. It's been a busy quarter for us. But having said that, we don't think the tool is the end all be all, there's still people that will want to come in person. We just think that we've thought this thing through and we're going to be industry leading with a lot of tools that don't exist in the market today as it relates through the acquisition online. To answer the end question, can we get above one, one for one? There's no question about it. I would tell you that many of our operators in the quarter purposefully dialed back volume to really take a chunk at margin and that was the focus. We really just didn't feel like with what was going on in the quarter. It wasn't about driving unit sales, it was about driving gross and net profit.
John Murphy: Makes sense. Maybe just lastly, how do you think about sustainable your front-end yields approaching 4000 bucks here, 3 to 3.5 thousand was pretty good before, like those are good solid numbers. What do you think they're all in stainable? And, what's kind of a glide path there? I mean, are we any other quarter that you have had a very high front-end point in yields or is that going to fade reasonably quickly?
David Hult: Yes, so again, I wish I had a crystal ball. But I'll give you my personal opinion on the way I see it. I think this particular fourth quarter, will remain elevated on our total yields compared to what pre-COVID levels are. I think, when inventories get back in the world gets back to normal, I'm sure that will come down a little bit. But even when you go pre-COVID, if you look back, even though we had pressure on our new car margins, we were still raising our total yield slightly every quarter. And now with the material acquisition of Park Place, and their PV use, or PVRs, excuse me, we expect some natural lift there as well. So I think it will remain elevated in the fourth quarter, will be as high as Q3, I'm not sure, but surely elevated the pre-COVID. And then even when the dust settles, I expect this to settle in at a higher number because of the impact of Parks Place as well.
John Murphy: Right, that's very helpful. Thank you so much.
David Hult: Thank you.
Operator: We will now go to Adam Jonas of Morgan Stanley.
Adam Jonas: Hi everybody, can you give a bit more of the KPIs on digital? I know you have a number internally that you share on percentage of your sales that are done and the used sales that are done 50% to 100% online, I don't have to give you that number for the third quarter and how that compared year-on-year?
Dan Clara: Good morning, Adam. This is Dan. So for the quarter 22% of our used vehicle sales were transacted fully online, through push start. And just as a reminder, we define a full online sales, when a customer completes the entire process online and has the option to receive a home delivery. This process must include cylinder trading, purchasing insurance, broader receiving financing, in signing all the documents online, not requiring a with signature by state law. And then in addition to one of the things that we continue to see is surprisingly, most of our customers select to pick up the vehicle at the dealership.
David Hult: Adam, just a follow up on that. I mean, in this day and age 95% of the people are looking online first. I mean, that's the newspaper for lack of a better term. We're not counting that quantity, but utilize the push start tool and come down the channel with the tool.
Adam Jonas: And what was the prior years as we get the comp in 22% this quarter, what was the last year?
Dan Clara: Adam, it was 8% last year.
Adam Jonas: Okay, just say okay, and any color on front-end, attachment rate or GPU of that -- of the online and what you define as online through push start versus the in-store sales?
Dan Clara: Yes, it runs about the same Adam. I mean it, when you look individually at each individual store, you'll see a couple hundred up or down, but when you aggregated it's averaging about the same.
Adam Jonas: That's great. And then finally SG&A 61.1% in the quarter obviously helped buy the kind of juicy, meaty GPUs. But if I were to ask you high level, how much of the year-on-year improvement would you say is related to, let's just call it unusual gross versus structural and sustainable? Thanks.
David Hult: Sure, I wouldn't tell you some of the tailwinds and some of the headwinds that we potentially could have. From a tailwind perspective, you learn over time as an operator, never let a downturn go to waste. It gave us an opportunity to really increase our production per employee. We believe that's sustainable when we get back and we'll get a natural lift from that. Some headwinds could be the normal stuff that you expect, medical expenses, insurance costs, that kind of stuff, those always seems to creep up every year, and something that we're trying to get aggressive on. The advertising, you could make a case that we've trimmed it so much to the bone, it might be affecting our volume to a certain degree. And we may take a look at that and play with that. Later on in November, when you get a real, very detailed walkthrough of the software won't be screenshots, but it will be the actual video of the tool. If we get the conversion right there, there's opportunities on the cost structure side again. But I'd be getting ahead of myself with that until we really get it implemented, and see what the data looks like.
Adam Jonas: I look forward to that. Thanks, David.
David Hult: Thank you.
Operator: We will now take our next question from Rajat Gupta of JP Morgan.
Rajat Gupta: Hi, good morning. Thanks for taking my questions. So just kind of broader question on electric vehicles, after the recent Hummer announcement, it looks like your two GMC dealers in Florida and Indiana are on the program. How do you think the dealer channel is likely to be impacted, as more of these OEMs start to offer one price vehicle through the website, I mean how do think this could change the profitability profile on the new vehicle side? I mean GM also noted that, they're trying to renew the efficiencies at the dealer channel, why are doing this? So well, it's a bit unclear to us, like how the economics might look like. It has become the norm, not just for electric vehicles, but other margin vehicles, too. Again, you have to get the service side of the business, but just curious as to what changes might happen here, from like, a supply chain perspective and economics going forward? Thanks.
David Hult: Yes, this is David. I'll give you my perspective as a dealer with the manufacturer. I guess I don't interpret it the way you do, as it relates to specifically to General Motors. In my career, I've seen a lot of manufacturers in a lot of different states try to direct sell and it doesn't work well. The supply chain the way it currently works and local dealers, servicing and selling vehicles tends to produce the best results and I don't see that changing. Specific to electric sales, look at they're coming in, and it's coming over time. But as the current world as we sit here today, it's still a push sale. It still has to be dramatically incentivized by the government with credits. It has to be heavily incentivized from the manufacturer. It's not a profitable solution at this point in time and because of the push of it, the gas is so cheap, big SUVs are selling and big trucks are selling with big engines right now. But again, that's going to change over time. There's a lot of work that has to be done to the infrastructure. We think the franchise model works really well and we don't see that materially changing. All the startup electric companies that are going direct, time will tell how many of them make it, how many of them don't, how many consolidate and what their success looks like.
Rajat Gupta: Understood. I think GM also talked about, like assigning Participation Agreement then only, half of their GMC dealers are going to be on the network. Can you give us a sense as to like why one would decide to participate or not, or like is it just demographics or like economics or like investment requirements, like any color on that?
David Hult: I couldn't give you insight as to how dealers were thinking, what their decisions are that they make. Any time you become part of something, there's investments that have to be made, in the infrastructure and getting ready for specific products. We see the value in it. We anticipate doing it, but I couldn't speak to as what other dealers might be thinking and why.
Rajat Gupta: Got it. That makes sense. Just last one, on capital allocation, your balance sheet is a little levered currently on a pro forma basis, it still looks fine. You talked about looking outward and strategic opportunities, give us a sense of what those might look like? Is it more trying to expand your regional density or your brand mix further, or any sense of what those priorities might look like going forward? That is all, thanks.
David Hult: Sure. I would say, and I've said this in the past, we look at a lot of deals, and don't acquire many, because we're really looking for the right fits for us. It's easy to buy something much harder to operate it. And we try to be thoughtful about that. It's an interesting time with the election coming up. There are deals out there right now. We've looked at some deals. They're not deals that excite us, or think that it's worth the time or investment in capital in them right now. It's a more competitive space with all the private cap money that's coming into it as well. But there's a lot of stores that are coming up in certain markets that just don't interest us. We generate a lot of cash. We'll generate a lot more cash now with the Park Place acquisition. We still have some mortgages to pay down over time, and we'll surely chip away at that and deploy capital to the tires [ph] return. But we're very focused on certainly getting our debt down in the meantime. But we're opportunistic with acquiring, we'll certainly look at every deal that comes our way and put the time into it. But we're not going to jump on it if we don't feel like it's accretive for us.
Rajat Gupta: Understood. That is helpful, thank you so much and good luck.
David Hult: Thank you.
Operator: We will now go to a Stephanie Benjamin of SunTrust.
Stephanie Benjamin: Hi, good morning.
David Hult: Good morning.
Stephanie Benjamin: I was hoping that you could briefly update us a little bit on the integration plans of Park Place obviously closed late in August. So maybe what was implemented at the end of the quarter? And what's on deck for the fourth quarter here?
David Hult: Yes, this is David. I would tell you the integration piece, the biggest part early on is all the accounting and standard Chart of Accounts and doing all that integration. From an operational standpoint, we didn't change anything at Barclays. We didn't change their infrastructure, we didn't change their support structure. We wanted to keep them all. There, we're very profitable, well run organization. So we kept their ecosystem the same and kind of plugged into ours. So I would say, for several weeks were, for lack of a better term businesses normal. In the first couple weeks, we certainly had the normal challenges with phone lines and software issues and integrating settings, and things like that, and circuits. But we've worked through all those kinks, and everyone's back to normal operating.
Stephanie Benjamin: Got it, thank you. And then please on the inventory, I think you noted that you're seeing some of this has started to slowly come back on the new side. Is there any difference between your luxury import or domestic divisions where you're seeing inventory returned at a slightly faster rate?
Dan Clara: Good morning Stephanie. This is Dan. We are, yes, there is a slight difference on the different segments, whether it is luxury, import or domestic. There was some of the domestic as, were affected by the strike pre-COVID-19. And obviously, that is carrying over to where we are today on inventory coming in, because you've doubled up with the COVID-19 impact. And then, some did not go through that, and so we're seeing a bigger influence in some of our luxury in some of our imports, and then some of the domestic may be a little bit slower than we would like it to be.
David Hult: Yes, another thing I would add to that, some of our luxury stores in the quarter had less than a 20-day supply of cars at times. And when we talk about a 20-day supply that’s overall all models included, we had some models where we didn't have any cars in stock. So naturally that dramatically impacted the unit counts as well. When you think of the domestic side and even the import side, it was kind of the same story. Even though you had a light inventory, there's certain models not different than on peers, I'm sure, you just didn't have them. You just didn't have the inventory to sell.
Stephanie Benjamin: Got it. That's all I had. Thank you so much.
David Hult: Thank you.
Operator: And now we will take the question from Bret Jordan of Jeffries.
Bret Jordan: Hi, good morning guys.
David Hult: Good morning.
Bret Jordan: On the wholesale gross is that driven by greater demand for used vehicles and pricing or is that because you now are putting more cars through your own auctions acquired with our choice? I guess would you give us an outlook that you think you're going to be doing with own auctions now? I think what you expand?
David Hult: Sure. Yes, it's just kind of like the [indiscernible] with Manheim. I mean, the auction prices in July and August, are ridiculously high. The last few weeks, they've tailed off a little bit, but they've tailed off to a still a high number. The auction that we acquired, again forget about the last week of August, because there was a lot going on, we've had it for the month of September. We really just observed for the month, we really want to see what it did, how it did it, how it operated. And what the potential is, we certainly went into it with a mindset of what we thought our potential is. And we're even more convinced today than we were pre closing of our potential with that auction. So we anticipate growing that auction, and may be doing more down the road besides that.
Bret Jordan: Okay, great. And then a question on the omnichannel. And clearly it seems to be applied to use pretty effectively. Can you do an omnichannel new or are you're going to be restricted selling new vehicles to markets where you don't own a franchise? I mean, could you sell luxury from Park Place into California or would you get pushback on that?
David Hult: Sure, I'm going to address that in a couple different ways and if I don't hit it, please come back. We felt that 22% because it's the highest number. On the new car side, we're running about 13% with the push start tool. So we have franchise laws with our brands, and we have framework agreements. I cannot market a brand new vehicle of any kind in Los Angeles. Can someone from Los Angeles reach out to us and want to buy a car from us? The answer's yes, I just can't market there. So there's some semantics there. I think you'll see, if you participate in the Investor Day and if you've purchased a car from, say, a Carvana, you'll see some dramatic differences in the tool and dramatic differences from what we currently have in the push start tool. Full disclosure, there's some things in that push start tool that just don't exist, that need to enhance the experience and fully baked the sale for lack of a better term. We know we've solved for those equations and we're excited to show that in a few weeks. But the answer the question more direct the way we look at omnichannel, there's an opportunity for lack of a better term. If down the road, we chose to target certain markets with pre-owned and utilizing this tool and having more of a distribution hub in that part of the country at a lower cost from say having a franchise or a showroom just to create a distribution system. There's a lot of opportunities that we're looking at. We think the benefit to a digital tool is the fact that you don't need brick-and-mortar. And how do you maximize that flow through? And that's through the tool? And what the ability of [indiscernible] can do.
Bret Jordan: Right, thank you.
David Hult: Thank you.
Operator: Now we'll go to David Whiston of Morningstar.
David Whiston: Thanks. Good morning. Just first on the special items of the quarter the 700,000 Real Estate charges for GAAP we have books and other income.
PJ Guido: Hi Dave, this is PJ. I set – books and other income.
David Whiston: Okay. And can you talk a bit about what drove F&I GPU up 11% year-over-year?
Dan Clara: Good morning, David. This is Dan. Our F&I team is doing a very good job consistently training as, we have our bottom of the stores that we continue to focus and that we continue to train and we're seeing an improvement there are top producers that they're consistently performing. Don't be much more of an update with the top producers but strategically focusing on the bottom one and strategically training them on a week-to-week basis and following through to ensure that consistency is maintained at the store level.
David Whiston: Okay, and do you still think there's a lot of room for improvement on that Automanage?
Dan Clara: Like I said, there is always the bottom half that we focus on and there's always opportunity and room for improvement in those bottom half yet. The top half, like I said earlier, I would say there's not much more room to go in the top half.
David Whiston: Okay, and on the -- looking of the GMC Hummer pickup from a different angle beyond the distribution logistics discussed earlier. I'm more just interested in just the fact that a lot of automakers both legacy like GM, but a lot of startups like Tesla and Rivian all as you know are all going after this pure electric, very high end premium, pickup truck niche, they're really creating a new segment. And it's obviously going to be a low volume segment, given the price point. So I just think they are near in touch with the customers there. I mean, because there's a lot of interest for vehicles at that price point, or especially all electric ones or when people will - are they waiting for something that perhaps they're open to a BEB [ph] pickup truck, they want something a bit more reasonably priced. But maybe the F series will be a few years.
David Hult: David, I'll take a shot at this and Dan can clean it up. I think of the traditional truck buyer and how long they've been buying trucks and I'm very curious and interested to see when the electric truck starts to come out if that buyer shifts at all and what happens. I'll tell you, I just talked about a traditional domestic truck right now and it is probably a lot to do with the pandemic. And, people have more discretionary cash available. The more expensive the truck is today, the faster it sells. We will sell a $75,000 pickup truck faster than we will a $50,000 pickup truck. Now, I don't know if that's sustainable over time, but it's been creeping that way for a while. So I do think there's an appetite, I don't think this again, it's just one person's opinion today as I sit here, the truck market seems to have a watermark, from what I can see. And it's somewhere in the 75,000 to 80,000 range when you start to see trucks, much more than that. The sales become very small.
David Whiston: Okay, thank you. That's helpful. I appreciate it.
David Hult: Thank you.
Dan Clara: Thank you.
Matt Pettoni: This concludes today's discussion. We appreciate your participation and look forward to discussing the next quarter. Have a great day.